Operator: Again, thank you all for joining me. We'll get started in just a moment. Okay. Jeremy, I'll turn it over to you.
Jeremy Johnson: Thanks, Nicky. Greetings and it's Jeremy Johnson, Vice President of Finance and Investor Relations at Ceridian. I'd like to welcome everyone to our Third Quarter Earnings Call. All participants are in a listen-only mode, and a question-and-answer session will follow the formal remarks. As a reminder, this conference is being recorded. On the call today, we have Ceridian's CEO, David Ossip; and CFO, Noemie Heuland. Before I hand the call to David for some brief remarks, allow me to provide a disclaimer regarding forward-looking statements. This call may include forward-looking statements about our current and future outlook, guidance, plans, expectations and intentions, results, levels of activities, performance, goals or achievements or any other future events or developments. These statements are based on management's reasonable assumptions and beliefs in light of information currently available to us. Listeners are cautioned not to place undue reliance on such statements. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those set forth in such statements. We refer you to our previous filings with the SEC for information regarding the significant assumptions, underlying forward-looking statements and certain risks and other factors that could affect our future performance and ability to look to deliver on these statements. We undertake no obligation to update or revise any forward-looking statements made on this call except as maybe required by law. Third quarter stockholder letter, earnings release, and quarterly report on Form 10-Q have been furnished or filed with the SEC and will be available on the SEC's EDGAR database in the US in the SEDAR database in Canada as well on the Ceridian Investor Relations website at investors.ceridian.com. With that, I will turn the call over to David.
David Ossip: Thanks, Jeremy, and good evening, everyone, and thank you for joining our earnings call. I hope that everyone is staying healthy and safe. Before we go to Q&A, I want to spend a few minutes on some important points from our stockholders letter. First, we had a strong quarter. Dayforce recurring revenue, total revenue and adjusted EBITDA were above our expectations. Despite COVID-19 headwinds, Dayforce recurring revenue, excluding float grew by 17.9% and cloud recurring gross margin increased by 20 basis points to 70.4% and excluding float revenue expanded by 190 basis points. Second, as expected, sales for the third quarter accelerated and were in line with the expectations we had for the business before the COVID-19 pandemic. For the fourth quarter, we expect double-digit year-over-year sales growth, the largest sales quarter in our history. Third, Dayforce Wallet continues to grow very well and we remain confident in the wallet strategy. Today we have more than 60 customers using the wallet and over 200 more have signed up, that are not yet implemented. Our Dayforce's attachment rate to new sales has been approximately 80%, which we expect to lead to compounded adoption as those customers are taken live. And finally, we expect Dayforce recurring revenue growth, excluding float and on a constant currency basis of between 18% to 19% in the fourth quarter and above 19% for the third quarter of 2021, both assuming continued gradual improvement in customer employment levels. I would like to hand it back to Jeremy to open the call up for questions-and-answers.
A - Jeremy Johnson: Thanks, David. As we go through the Q&A portion of this call, I will announce your name and at that point, we ask you to please unmute your line, ask your question and then re-mute your line. We also ask you please limit your time to one question and one follow-up please. Thank you. The first question now comes from the line of Alex Zukin [ph]. Please go ahead, Alex.
Unidentified Analyst: Okay, thanks guys for taking the question. Thanks, Jeremy. Thanks, Dave. Can you talk about just the selling environment as it has evolved, both through the quarter - the third quarter and as you look into the fourth quarter? You even gave guidance for Q1. What have you seen - in kind of the sales cycles, what have you seen in the pipelines? What have you seen in win rates? And then also what you're seeing in kind of retention now that we're so far through the pandemic and you had customers that had layoffs and furloughs? What you're seeing there would be great.
David Ossip: Sure. So I think about five questions in that one question. So thanks for that. And Alex always great to speak with you. Sales in the last quarter, Q3 recovered to pre-COVID levels. So again, if we look at the budget, we had back in January, we had obviously very aggressive sales targets for the year. And Q3 numbers came in line with that. And we're also seeing continued momentum into Q4. So a very robust selling environment. And I would say, as far as COVID goes, I believe that the selling environment is back to pre-COVID levels. So we're quite encouraged. We saw wins, not only in North America, but if you go through the stockholder letter, you can see we had significant wins on a global basis as well, which is evidence of our move into the enterprise market and as well our expansion globally. In addition, we saw some benefit from the Excelity acquisition. So we're now seeing influence in global customers that have populations across APJ where we are seeing increased pipeline, increased conversion and increased influence, based on the Excelity acquisition. So we're very pleased of that. In terms of employment levels, employment levels have come back probably another about 1% since last quarter. So they were still down when we measured on an average employee basis per customer. However, the aggregate number of employees paid on the Dayforce system is up obviously year-over-year. Hence, the growth rate that we see of approximately about 17% in Dayforce recurring.
Unidentified Analyst: Perfect. And then, as a follow-up, if you start thinking about - you've made a number of new hires to the executive team at the technical level, at the sales level, at the partnership level. When you think about the big initiatives for investors to focus on as we start lapping the COVID compares and you start thinking about the kinds of growth rates that you could put up, even as we think from 1Q to 2Q sequentially, what are the things to pay attention to? What are the growth tailwinds that you see from some of those hires, you think will be able to bring that we should pay attention to?
David Ossip: Yes. As we mentioned in the stockholder letter, the hires all have global experience and experience at scale. And so what you will see from the group that we brought on are two things. One, continued acceleration of sales as we go into next year. And that should translate in the second half of the year, back to pre-COVID Dayforce revenue growth levels. And the second thing that you should continue to see is an improvement in profitability because as from a cultural perspective, the way I'd describe moving from a startup culture into one of scale, as you go from heroics to have improved processes that allow you to scale the company profitably.
Unidentified Analyst: Perfect, thank you, guys.
Jeremy Johnson: Thanks, Alex. The next question is going to come from the line of Matt Coss from JPMorgan. Go ahead, Matt.
Matt Coss: Hey, good afternoon. It's Matt Coss on behalf of Mark Murphy. David, digging a little deeper into the 11 large global enterprise deals, were these global vendors - were these takeaways from global vendors, were they takeaways from regional ones? And as you look at your partnership with Excelity, do you think Excelity could have won these standalone or is it really the combination of Ceridian with Excelity?
David Ossip: So there is a combination, as we expand globally, for example, in the UK, often we are replacing local incumbents. When we talk about deals in Germany and in APJ often we are replacing the larger ERP companies or still some incumbent technologies that they might have in place. In terms of Excelity, in some cases they have one, standalone deals separate from the Dayforce software. And in addition, we are seeing, as I mentioned crossover between the Dayforce sales and added sales from Excelity payroll components.
Matt Coss: Okay, very good. And then just a little bit of follow-up maybe on Alex's question, so I guess, maybe it's obvious that you should return to pre-COVID levels of sales, given the improvements in the economy. But I think there is some industries are still really hurting, and although unemployment is better than it was, it's so much higher than pre-COVID levels. So you sort of how do you see Ceridian sort of…
David Ossip: Yes. Just one clarification; I don't see sales returning to pre-COVID levels. In Q3 sales were at pre-COVID level. So I believe the market has already shifted back into a buying type of mode. We are seeing purchases across the industry. It's not only in what we would have tabled or described as being surge industries. So obviously, we're seeing a quite a bit in health and - but we are still seeing some of the industries that have been impacted like transportation or recreation still buying systems from us.
Matt Coss: Thank you.
Jeremy Johnson: The next question is going to come from the line of Siti Panigrahi from Mizuho. Siti go ahead.
Siti Panigrahi: Thanks for taking my question. David, last quarter you talked about very strong incremental revenue from new clients. I'm wondering, how is that trend this quarter? And in fact you have expanded to a robust product portfolio. So what sort of modules you see increased traction within your new client base?
David Ossip: So, we are continuing to see strong new sales from new customers. Obviously, we're very happy with these sales that were brought in, in Q3. The trend of customers buying add-on modules, I don't believe has changed materially. We're still seeing about 20% of our sales being add-on to the existing base. As to what modules, I don't think that's changed either. It's obviously the LMS side performance compensation. More recently we have engagement surveys. Dayforce Wallet, although we don't charge a subscription fee, we are seeing an 80% - 80% attachment rate to new sales.
Siti Panigrahi: And then, a follow-up to that. Historically, December is your busy month for go live. So I'm wondering now that you doing a virtual implementation, how is the pipeline looking for go live this year?
David Ossip: We were very happy with the go lives in Q3. And so as we go into Q4, we expect that the go lives will come in on budget. Obviously if we compare it year-over-year, there is some impact on the first two quarters of the year in terms of sales, because Q1, Q2, we typically would take live as you know in the December timeframe. We haven't seen any impact in terms of our core go live our productivity issues in terms of working from home and working remotely.
Siti Panigrahi: That's great. Thank you.
David Ossip: Two examples I'll give you; one is the peer tech [ph] company that I think we went live. Jeremy, it must have been what, three months. And that was a take away from one of our two top competitors. So that was very encouraging. The other one would be a large home healthcare organization with about 30,000 employees. And they went live in about a nine-month period. And obviously just given where we are now, almost the entire implementation was done remotely, and that's across 5,000 different locations. So what I would say is that we and our customers have worked out how to use technologies like Zoom that we're using tonight to remain very productive.
Siti Panigrahi: That's great. And Noemie, congratulation. Looking forward to working with you.
Noemie Heuland: Thank you.
Jeremy Johnson: Thanks Siti. The next question is going to come from Dan Jester at Citi. Dan. Go ahead.
Dan Jester: Right. Thanks, everyone. Appreciate the opportunity to ask a question. I guess first on sort of the wallet, you had a big hire today, and David, you talked about sort of the roadmap here, new client, new - higher attach rate, but can you just help us think about what the wallet could look like a year from now? Maybe at high level in terms of the ability to add new features to it. I mean what's the roadmap look like at a high level from here?
David Ossip: It's a very aggressive roadmap, but remember we only started building the wallets about a year ago. And already we have 60 customers or more than 60 customers that are actively using the wallet and we have over 200 additional customers that have signed up for the wallet as well. In terms of new capabilities, we'll have a pay card functionality that will come out, I believe this month. The pay card functionality allows the wallet to be used for a traditional pay card, which means instead of the unbanked or low banked people getting paper checks or having to go to cash check-in locations the organization will be able to give those individuals a Dayforce card and they will be able to pay through that. And so we're expecting to see volume increases through the use of the pay card functionality. Second, we're about to launch the Dayforce Wallet in Canada. And I believe that happens later this month as well. Ceridian will be the first customer using it. So I personally am actually quite excited you to use the actual wallet which will be great. We're also adding the ability now to do automatic top up, much like a Starbucks card, when it goes below a certain level, automatically it tops up. And that will be coming out, I believe in this particular quarter, as well. There are aspects of bill pay that we're adding to the actual system. On a longer-term basis, we'll be moving more into financial wellness, so things like interest bearing and savings accounts, we call them buckets [ph] inside the actual wallet. They will be coming out. And then there is the typical features that you would expect, things like secondary cards, peer to peer transfers and the like; so we're quite excited with it. We have INSIGHTS in two weeks, which is our large customer conference. We're very excited with that. We expect to have over 10,000 attendees, which is about a 5x increase over the attendance that we saw last year. We'll talk a little bit about how working remotely and working from home, when attached to a proper digital marketing strategy can actually boost pipeline and such. But we'll be talking a lot about the extension of the wallet beyond just payments.
Dan Jester: Great, that's very helpful color. Appreciate it. And then with regards to profitability this quarter EBITDA came above your guidance, and a couple of times in your prepared remarks you talked about profitability and scaling the business et cetera. So can you help us think about sort of the puts and takes over the next year in terms of the margin. I mean clearly, you're being impacted by the lack of low [ph] income at low interest rate, but on the flip side, you have the benefits of scale, and other investments. So how should we think about margins evolving from here? Thank you.
David Ossip: First as employment levels come back, that adds not only to revenue but is almost a complete flow down to the bottom line. So for example if a customer has a 1,000 employees versus say 1,100 employees, there is no cost difference to us between 1,100 or 1,000. So as employment levels come back, we should see a slight lift as well on the actual profitability side. We'll see continuous improvement from scale as you mentioned, which effectively come down to lower per employee hosting costs and lower per employee support cost inside the application as well. In terms of EBITDA, we are going to continue making investments next year. So we'll continue to invest in global, in enterprise, in the wallet and the extension of the wallet that we'll be discussing at INSIGHTS as well. One point we should probably call out is that on the EBITDA side, where as in the second quarter, we did not accrue for bonuses, just based on COVID impact, in Q3, based on the performance of the company, we did do an accrual for bonus payouts for our staff. So these results were actually very strong.
Dan Jester: Great, thank you very much.
Jeremy Johnson: Next question comes from the line of Michael Turrin at Wells Fargo. Michael. Go ahead.
Michael Turrin: Hey, there. Thanks everyone. I'm assuming you can hear and maybe even see me okay. I wanted to just focus in on both kind of the upmarket and the small business trends you're seeing. I mean obviously the upmarket metrics look strong. We continue to note in the shareholder letter just the size of customers that you're talking about continuing to increase as well. There is also some commentary around some of the smaller businesses that you've seen and some customer losses or churn on that side. It looks like net-net, we would expect that market to weigh heavier and no change to your Cloud retention expectations. But just want to kind of speak to the push pull of those of two sides? Thank you.
David Ossip: Yes, so Mike, let me just start a little bit higher up from that. About 90% of our Cloud revenue is Dayforce and Dayforce is largely targeted at what we call major markets and enterprise space. In that population we've obviously seen a nice improvement in terms of employment levels. So we've seen it go up slightly from the end of Q2 or was down from what we would have seen in terms of average headcount last year. In terms of Powerpay which is our small business, Canadian earning product, we did see a V-shaped recovery in terms of employment levels, but the recovery level is not yet at the same levels as we saw prior to COVID. And there obviously there has been some impact of the number of Dayforce clients, because as we called out in the shareholder letter about AG, Powerpay payroll customers that were using Dayforce time and attendance went out of business. In recovery, I would expect a similar pattern. The smaller the companies are, I think they're more impacted by waves 2 and wave 3, and the different types of lockdowns that you see across jurisdiction, whereas the larger companies typically have more resilience.
Michael Turrin: Helpful. Maybe just a quick follow-on, if I may. Noemie, congrats on the new role. Since we have you here almost live and in person, and David want to break for a second. Just any initial observations, key priorities or areas of focus for yourself as you're coming on board and ramping into the new role?
Noemie Heuland: All right, thanks for the question. I'm very happy to be here actually. I'm very amazed by the leadership team, the culture of the company. I come from a place where we innovated to serve our customers and I find that here as well, and the growth is very amazing. I am excited about the opportunities to further increase our market share. The growth drivers, as David mentioned, the global expansion, the move to the enterprise are areas that I think I can bring a lot of experience from SAP and I'm a very excited. Thanks.
Michael Turrin: Excellent. Thank you.
Jeremy Johnson: Our next question comes from the line of Samad Samana from Jefferies. Samad go ahead.
Samad Samana: Hi, good evening. Thanks for taking my question. So David, first just I'm curious, we didn't hear much about public sector this quarter. I'm just curious if you had made investments following the push in Canada's modernization side. I'm curious if you have any updates on progress both on that front? But just more broadly I know you were saying it can dovetail into other public sector opportunities. And then one follow-up.
David Ossip: Yes. So, on the Canadian government, no updates over there, obviously much slower with COVID. However, we are seeing a little traction at the municipal level of government, where we've had some nice wins and some nice go lives and I expect that will continue.
Samad Samana: Great. And then, just during the quarter, we heard some feedback that maybe there were kind of the sales leadership structure. There was like a regional change. I'm just curious if - I don't know if that's right or wrong, but just as a follow - we want to make sure we understand if there were any changes or if you could just remind us, maybe how that sales leadership is working on a regional level? And that's it for me.
David Ossip: Sure. So it's not so much regional. But as you know, we are continuing to invest in our own organization, as we transition from this founder-led type of culture to one that has more scale and more predictability and more quality inside the workforce. And so the changes we made over there was effectively to uplift the sales organization. As we do believe that we can see more - we can see potential for much more productivity out of the sales organization. Remember, we're saying that even with a very, very high performing sales organization that executed at pre-COVID level in the last quarter.
Samad Samana: Great, thanks everyone. Noemie, let me just echo the congrats on others for joining and look forward to getting to know you better as well.
Noemie Heuland: Thank you. Looking forward to it.
Jeremy Johnson: Thank you. Next question comes from the line of Bryan Bergin at Cowen. Bryan, go ahead.
Bryan Bergin: Thanks guys. Good evening. I wanted to ask given the international success that you've had, can you give us an update on the expansion strategy there? And any considerations of accelerating any particular regions?
David Ossip: Bryan, thanks for the question on that. We are building up as you know, Germany and we're building out Mexico at the current time. We've had actually quite a lot of success in Germany already with the actual product. We spoke about Henkel inside the stockholder letter, which was one of the largest sales we've ever done with over 50,000 employees on a global basis. So we're quite encouraged with that. We are obviously - with two different types of Excelity types of opportunities that we believe we can acquire, migrate to take over to the Dayforce side, continue building out the Dayforce platform to have more major countries, and go from. So as they come up, we do look at all opportunities.
Bryan Bergin: Okay. And then just on the wallet, on the back end, as that scales, what are you considering around the financing of that?
David Ossip: So we haven't spoken too much about the actual finance at the moment other than our cost of funds is probably about 8 basis points to 10 basis points per actual load. So when we compare that to the interchange, that is about 125 basis points, less the program management fees. So that we net about 80 basis points on a particular $1 spent on 0.8% [ph] type of profit. As we go forward, we are looking at ways to actually structure the back end of the wallet for various types of kind of banking if you'd like avenues. And I think we'll speak a lot more about that in the second half of next year.
Bryan Bergin: Okay, thank you.
Jeremy Johnson: Thanks, Bryan. Next question comes from the line of Mark Marcon with Baird. Mark, go ahead please.
Mark Marcon: Hey, everybody. Thanks for taking the question. I'm wondering, can you talk a little bit more about the implementation pipeline, and how you see that unfolding as this year progresses, particularly with the calendar year start-up time period? And then I have a question with regards to the clients you've put in place the on-demand payroll?
David Ossip: Sure, so Mark. I think what you're asking is what is the revenue build up into next year. And so…
Mark Marcon: Correct.
David Ossip: Right. Because as you know, we do recognize - we do start recognizing recurring revenue when a customer goes live. Q2 - Q1, we had impact in terms of sales at the very end, in kind of late March. Q2, I think we saw the majority of the impact from COVID, but as we did mention in our Q2 call, Q2 sales still came in above our Q2 sales levels in 2019. And Q3 obviously we're back to the levels that we would expect at beginning of the year. You have to obviously reward [ph], and typically you can look at a six to nine months implementation timeline for most customers. So in terms of revenue, the trough really was Q3 that we've just coming out. You will see a slight acceleration, but still an impact from the Q2 sales into Q4. As we go into Q1, you will start to see a little bit more acceleration, and by the second half of next year, we should be back to the previous growth rates that we saw.
Mark Marcon: That's great. And then with regards to the clients that have put in place, the digital wallet, the 60 that you mentioned. What sort of take-up rates are you seeing there and what sort of changes in terms of the behavior are you seeing? And what's the feedback from the clients, just in terms of like the ease of handling the requests, is the payroll department getting any additional work or has it been fairly smooth?
David Ossip: So let me just start with back [ph]. The way that we differentiate from the other pay on demand pay vendors in the base is that there is no reconciliation for the payroll staff. So the payroll players, it's the same with the wallet as it is without wallet. And as you know we don't change the way that the customers have to fund their payroll either. We act as a commercial lender to the customers. So no change in actual process. Second, we're seeing very good responses. If you just do a quick search - if you do a Google search for Dayforce Wallet, Facebook and then put in the word care, you will see how many of our customers are now leading their job postings by discussing the Dayforce Wallet. And if you come to INSIGHTS, so if attend INSIGHTS we have a number of videos of people who are using the wallet, talking about their experience and we also have the HR people and the payroll people, also talking about their testimonies. So we're very, very pleased with the experience that people are having from the wallets, and that was one of the reasons that we built the wallet. We saw an obvious way to improve the employee experience when it came to payments. And from our perspective, we question the construct of a pay period. To us, it seems like an antiquated construct from 1940s technology on that. In terms of uptake, remember, we still are piloting the wallet. And so I can speak about the uptake across the pilot populations, which we're seeing somewhere between that 15% to 20% uptake rate, which is what we had expected, when we had done research in the industry as we previously have discussed. The 20% uptake of the on-demand pay piece was what we had thought we would see originally. And in addition to that, once we have the Paycard functionality we believe we will also get pickup from people who are still receiving paper checks and kind of non-bank and low bank, unbanked type of people.
Mark Marcon: Great. And then, one last one if I may. Are you seeing any sort of change in terms of competitive dynamics with regards to obviously on the workforce management, Kronos [ph] is going through a lot if we think about your key competitors, ADP and Ultimate as it relates to HCM? They're both going through multiple steps, obviously UKG having consolidated. Any sort of change in terms of those competitive dynamics in terms of impacting your win rates?
David Ossip: I think our win rates have remained quite strong. Obviously, as you pointed out, the two vendors are going through quite a lot of changes. One trying to transition from a service-based organization into a software organization and the other obviously going through tremendous - what I expect would be tremendous merger types of challenges and a little bit of obscurity as to product strategy in market. And so, we have been fortunate to be in the situation where we are, we have a very stable product with a very high customer satisfaction scores. We can take our customers live predictably, and we have obviously this continuous calculation engine, which leads into the ability to pay people immediately. And all of those have led to a very strong competitive position.
Mark Marcon: Great, thank you very much.
Jeremy Johnson: Thanks, Mark. Next question comes from the line of Raimo Lenschow with Barclays. Go ahead.
Raimo Lenschow: Thanks. David, can you talk a little bit about, if you look at international, and look at the expansion there obviously, like Europe is going a little bit back into kind of lockdown scenarios et cetera, like help us understand a little bit, what you're seeing there? And how will that potentially impact you or not potentially impact you given that you've got - you have been working virtually for quite a while already anyway?
David Ossip: A lot of our global growth at the moment is really coming out of the countries where we have native payroll. And so in terms of the UK, we're still seeing a very robust pipeline and a lot of sales activity and we're very pleased with the traction that we got in Q3 and Q2 in the UK. The same is true across ANZ where we have the Dayforce native product. And as I mentioned, we're seeing a positive impact from the APJ. We have, I believe completed the Dayforce connected pay integration with Excelity components. So I think we're okay from that perspective. Germany; we've been successful, but remember we're not going to launch native payroll for Germany until next year. I think we're somewhat fine from that perspective.
Raimo Lenschow: Yes. And then one follow-up, like - so last week, we obviously had the big HR Tech conference. And you guys showed really up in the CDAD [ph] survey in terms of customer satisfaction, et cetera. And the one thing that was interesting was they had a lot stronger customer demand in customers around more than 2,000 feet and below, actually, I don't know if you saw that, slightly surprised me. Is there some potential notion to kind of go also that direction because historically you've been more in that 3,000 to 5,000 and moving higher, but it was interesting to see the spend in 10 was actually very strong for you on the way down as well? Just kind of maybe some comments around that one.
David Ossip: Yes, look, the product is truly differentiated in market and it is a very [ph] market - And remember the whole design of the application was, can we identify that space workflows that shouldn't exist with today's technology, and can we solve them elegantly. And if you do that, it doesn't matter if you're a 500 employee company or a 50,000 employee company. You're going to get tremendous efficiency improvements. And those efficiency improvements by the way if you're a user of the system means you're taking frustration out of the user experience of having to wait for batch-based processes or duplicate data entry or as I mentioned with the other on demand pay, unnecessary reconciliation. For example, if you used one of our competitors time product a different pay product you have to take full reconciliation Friday; we don't have any of that. So yes, it's very strong kind of demand for system like ours regardless of segment. For us it really comes down to where do we get an ROI and what are per unit economics are given that we still are trying to improve EBITDA as we go forward.
Raimo Lenschow: Okay, perfect. Thank you.
Jeremy Johnson: Next question comes from the line of Matthew Pfau from William Blair. Matthew, go ahead.
Matthew Pfau: Hey guys. Thanks for taking my question. Just quick one in terms of the competitive environment now that one of your competitors has merged. Just wondering if you've seen any change there? Any change competitively product wise or perhaps in terms of sales turnover that has impacted you guys at all?
David Ossip: Again our win rates remain very strong, and we believe we have a clear differentiation in terms of technology in markets. In terms of that particular comparative, they still have separation of data, of systems, of process, of use cases between time and pay. And unless you bring those together, I don't think you can deliver a modern experience, to your customers and to their employees.
Matthew Pfau: Great. Thanks, guys.
Jeremy Johnson: Next question comes from the line of Yao Chew at Credit Suisse. Yao, go ahead.
Yao Chew: Hey, everyone. Thanks for taking my question. Again, great to see the execution and hope everyone is staying safe. I had a question around capital allocation. Given the success of the M&A, you've done with Ritek [ph] and Excelity, do you think this current environment opens up more potential M&A opportunities? And is this the right time to be more opportunistic especially in areas where there is dedicated growth efforts either in enterprise or overseas?
David Ossip: That's actually a great question and thank you for asking. It's something that we debate internally all the time, that we know that we have about a 3%, 4% market share in major markets. And much less than that in terms of enterprise and global. And so, just staying true to our current growth strategies, which again are acquiring new customers, going back to the customer base and selling them additional modules, moving into enterprise space, extending into global where we have native payroll and we have the Excelity APJ pieces and then going into adjunct markets like the Dayforce Wallet. Just by focusing on those five avenues, we can still drive tremendous growth. Sometimes we do come across opportunities like Excelity or like Ritek that allow us to accelerate our entrance into new emerging markets, but for each of those, we have to look at it as to what else we have to give up, because we don't have unlimited budget to build everything that we would like to do, increase sales and marketing expenses, where we can get proper returns and do the necessary integration piece. And that's the discussions that we have internally all the time.
Yao Chew: That's great. Thank you. And if I can have a quick follow up here. I wanted to clarify the comment in the letter around the 80 small customer losses each with few of a 100 employees. Obvious all due to customers going out of business or any of them competitive losses? Is there any vertical or geographic exposure here? And how should we frame or think about this churn issue going forward? Are we past the worst of it? Is it isolated to the smaller customers? Just any guideposts there would be helpful.
David Ossip: Yes. So let me just give true kind of - put a proper box around it. This is in relation to Canadian Powerpay payroll customers who use Dayforce workforce management. So they are predominantly a Powerpay customer typically with very few employees, and because they need time and attendance capabilities, which isn't in the Powerpay product, they use the Dayforce workforce management. It's various customers that we're talking about. These are the customers that were impacted most by COVID. So you're talking about the mom and pop - mom and pop shops, the very small kind of hospitality retail outlets, that simply did not survive COVID.
Yao Chew: Great, thank you very much.
Jeremy Johnson: Next question comes from the line of Scott Fletcher at CIBC. Scott, go ahead.
Scott Fletcher: Hi, sorry there. I was on mute for a second. I actually - being close to the end of the list here, I think I've got all my questions covered up. So I'm okay. Thank you.
David Ossip: Thank you, Scott.
Jeremy Johnson: Our next question comes from the line of Arvind Ramnani at Piper Sandler. I apologize, Arvind is actually not on right now. The next question comes from the line of Chris Silvestre at Veritas. Chris, go ahead.
Chris Silvestre: Hey, everyone. Thanks. I've also got my questions covered off. Thank you.
Jeremy Johnson: We have no other questions in the queue. And that concludes the call for today. Thank you everyone for joining our third quarter 2020 earnings call. Look forward to talking to you soon.
David Ossip: Thanks, everyone. Have a good night.